Operator: Good day, and welcome to the Steel Dynamics Fourth Quarter and Full Year 2024 Earnings Conference Call. At this time, all participants are in a listen-only mode. After management's remarks, we will conduct a question-and-answer session and instructions will follow at that time. Please be advised this call is being recorded today, January 23, 2025, and your participation implies consent to our recording of this call. If you do not agree to these terms, please disconnect. At this time, I would like to turn the conference over to David Lipschitz, Director, Investor Relations. Please go ahead.
David Lipschitz: Thank you, Matthew. Good morning, and welcome to Steel Dynamics' Fourth Quarter and Full Year 2024 Earnings Conference Call. As a reminder, today's call is being recorded and will be available on our website for replay later today. Leading today's call are Mark Millett, Chairman and Chief Executive Officer of Steel Dynamics; Theresa Wagler, Executive Vice President and Chief Financial Officer; and Barry Schneider, President and Chief Operating Officer. The other members of our senior leadership team are joining us on the call individually. Some of today's statements, which speak only as of this date, may be forward-looking and predictive, typically preceded by believe, expect, anticipate or words of similar meaning. They are intended to be protected by the Private Securities Litigation Reform Act of 1995 should actual results turn out differently. Such statements involve risks and uncertainties related to integrating or starting up new assets, the aluminum industry, the use of estimates and assumptions in connection with anticipated project returns in our steel, metals recycling and fabrication businesses, as well as to general business and economic conditions. Examples of these are described in the related press release as well as in our annually filed SEC Form 10-K under the headings Forward-looking Statements and Risk Factors, found on the Internet at www.sec.gov, and if applicable, in any later SEC Form 10-Q. You will also find any referenced non-GAAP financial measures reconciled to the most directly compared GAAP measures in the press release issued yesterday entitled Steel Dynamics Reports Fourth Quarter and Full Year 2024 Results. And now I'm pleased to turn the call over to Mark.
Mark Millett: Thank you, David. Good morning, everyone. We appreciate you taking the time to join us for our fourth quarter and full year 2024 earnings call. As you saw, our teams achieved a solid financial and operational performance in 2024 in what was a challenging market environment posting best-in-class financial metrics, which is a certainly a testament to our business model and performance driven culture. The highlights obviously second highest annual steel shipments of 12.7 million tons, cash from operations of $1.8 billion, and adjusted EBITDA of $2.5 billion and most importantly, we celebrated our safest year ever. Additionally, we've been ramping up our four new value-added flat rolled steel coating lines with the expectation of full earnings benefit in 2025. These lines represent an additional 1.1 million tons of higher margin product diversification for us. The Sinton team gained considerable momentum in the last two months running above 80% capacity and they are doing even better in January, with expectations to reach profitability in the coming months and Barry will go into more detail in his comments about the progress and what is yet to come. Aluminum Dynamics cast its first aluminum ingot two weeks ago at our Columbus facility and we're extremely proud and excited for the team. Everything is on schedule for a systematic commissioning of the rest of the plant to ensure commercial shipments this June. I could not be more proud of the entire Steel Dynamics team. They are the foundation of our company. There's no doubt that their passion, innovative spirit and commitment drives our success. As I mentioned, certainly the most gratifying achievement was having a record year in terms of safety. Both our recordable injury and lost time rates were the lowest in our history. We continue to build a world-class safety culture and our teams' dedication to our Take Control of Safety program is absolutely extraordinary. The core safety teams visited 85% of our 124 locations in 2024. These teams are made up of our teammates who volunteer to sacrifice time from their families to keep their colleagues safe and they are truly making it happen. 60% of our locations had zero recordable injuries and 81% had zero lost time incidents last year. I'm continually inspired by the commitment of our team members have for one another. They consider themselves family and challenge the status quo each and every day. And even with those phenomenal performance metrics, we certainly have a lot of work to do as we strive toward our zero incident environment goal. With that introduction, Theresa, would you like to give us your thoughts for the fourth quarter and for the year?
Theresa Wagler: Thanks Mark. Good morning everyone. Thank you for joining us. As Mark mentioned, 2024 had its challenges, yet the team performed well and I want to recognize that. In 2024 we achieved operating income of $1.9 billion and net income of $1.5 billion or $9.84 per diluted share. Cash flow from operations was $1.8 billion and liquidity remains strong at $2.2 billion as we continued meaningful organic growth investments and strong shareholder returns and not to be ignored, our three-year after tax return on invested capital was a resilient 23%. As for the fourth quarter of 2024, our net income was $207 million or $1.36 per diluted share with adjusted EBITDA of $372 million. As some of you noted, our effective tax rate benefited the quarter approximately $13 million or 5.4% due to state adjustments and another 3% benefit related to certain reserve items. Fourth quarter 2024 revenues were $3.9 billion and operating income was $238 million lower than sequential third quarter results driven by lower realized steel pricing and seasonal volume. Our steel operations generated operating income of $165 million in the quarter sequentially lower as average pricing declined $48 per ton while scrap pricing remained relatively flat. Seasonally lower shipments declined 5% in the quarter across the steel platform with a 50,000 ton negative impact at our Butler flat roll division related to an unplanned outage. For the full year 2024, operating income from our steel operations was $1.6 billion with near record annual shipments. For your modeling purposes for the quarter, our hot band shipments were 901,000 tons, our cold rolled shipments were 119,000 tons and our coated flat rolled shipments were 1,282,000 tons. Likely many of you noticed a reclassification in our supplemental data. In the fourth quarter, we reclassified the financial impact of certain aluminum operations from our Metals Recycling segment to our new Aluminum segment, impacting the associated revenue and operating income lines in our historical data. For context, for 2024, this would have shifted income of approximately $15 million from our metals recycling unit down to Aluminum operations. For the fourth quarter, operating income from our metals recycling operations was $23 million as nonferrous metals spreads improved more than offsetting lower seasonal shipments. For the full year of 2024, operating income from our metals recycling operations was $77 million, higher than prior year results as volume and metal spread improved across the platform. We're the largest North American metals recycler processing and consuming ferrous scrap and nonferrous aluminum, copper and other materials, and we are growing in support of our increased steel capacity and soon to be aluminum flat rolled operations through new and expanded supplier relationships and through the use of innovative new separation technologies. I'm really proud of what the mills recycling team is doing. As it relates to steel fabrication, our steel fabrication team achieved fourth quarter operating income of $142 million lower than sequential third quarter results as realized pricing declined a modest 4% and shipments seasonally decreased. For the full year 2024, earnings from the platform were $667 million representing a very good year. Our steel joist and deck demand remained solid with good order activity and Barry will expound more on that in a minute. We believe that the Infrastructure Inflation Reduction Act, manufacturing growth and onshoring will still increase and support fixed asset investment and related flat and long product steel and steel joist and deck consumption in the coming year. Heading to our aluminum operations, a quick reminder as we finish constructing the aluminum facilities, non capitalizable expenses are required to flow through SG&A until startup. As a result, our SG&A was higher in 2024 by approximately $88 million. We continue to have expectations to be EBITDA positive in the second half of 2025 for this platform and plan to operate the rolling mill at approximately 50% in 2025 and 75% in 2026. The construction and commissioning of the rolling mill and the San Luis Potosi Recycled Slab Center are progressing extremely well. Approximately $2.2 billion has already been invested through December 2024 with expectations of funding the remaining $500 million plus in 2025. During the fourth quarter of 2024 we generated cash flow from operations of $347 million. For the full year we achieved annual cash flow of $1.8 billion. Working capital in the fourth quarter grew with the improved performance at Sinton and preparation for startup at our aluminum facilities, which represented an increase generally of around $100 million. In addition to some unexpected increases we had in WIP and finished goods at some of our long product divisions, which we expect to be right-sized shortly. Our cash generation is consistently strong based on a differentiated circular business model and highly variable low cost structure. At the end of the year we had liquidity of $2.2 billion comprised of cash and investments of approximately $1 billion and a fully available unsecured revolver of $1.2 billion. During 2024, we invested $1.9 billion in capital investments of which approximately 70% relayed to construction of our aluminum flat rolled investments. Approximately $200 million of funding for the aluminum investment shifted from the fourth quarter to 2025 spending, as did some other smaller projects throughout the company, increasing our full-year capital investments estimate from the original $750 million to $800 million to closer to $1 billion at this point. Again, this is simply a timing shift. In the fourth quarter, we repurchased $295 million of our common stock and $1.2 billion for the year, representing 6% of our outstanding shares. At December 31, we had $194 million remaining authorized for repurchase. These actions reflect the strength of our capital foundation and consistently strong cash flow generation capability and the continued optimism and confidence in our future. Our capital allocation strategy prioritizes high return growth with shareholder distributions comprised of a base positive dividend profile that's complemented with a variable share repurchase program, while we remain dedicated to preserving our investment grade credit ratings. Our track record is proven achieving a three-year after tax return on invested capital of 23% as I mentioned, during a period of transformational growth and strong shareholder returns. Our free cash flow profile has fundamentally changed over the last five years. Our annual average free cash flow used to be around $540 million. Today in the last five years it's closer to $3 billion. We've placed ourselves in a position of strength to have sustainable capital foundation that provides the opportunity for meaningful strategic growth and strong shareholder returns, while maintaining investment grade metrics. We're squarely positioned for the continuation of sustainable, optimized long-term value creation. On the sustainability front, as we mentioned on the third quarter call in 2024, we did announce new certified science based greenhouse gas emissions intensity targets for our steel mills. They are in alignment with 1.5 degree set forth in the Paris Agreement. We have interim 2030 emissions intensity goals as well as 2050 goals and we feel very strongly that we can accomplish this. Decarbonization is a meaningful part of our long-term value creation strategy and we're dedicated to our people, our communities and our environment. We uniquely have an actionable path forward that's more manageable and we believe considerably less expensive than we ever had for many of our industry peers. Our carbon reduction strategy is an ongoing journey and we're moving forward with the intention to make a positive difference. And uniquely, actually, Tricia just let me know last night, we received an award from the Corporate, is that right, Tricia? The Corporate Knights and we're one of the world's most sustainable companies. In fact, we're 29th out of 100 companies and we're the only steel company that was mentioned, so I think that's pretty good and I want to give a congratulations to the teams because we can't do it without them. So with that, Barry?
Barry Schneider: Thank you, Theresa. Our steel fabrication operations performed well throughout 2024, achieving historically strong earnings. At the end of the year, our steel joist and deck order backlog was solid, extending through the first half of 2025. We continue to have high expectations for the business due to the positive customer sentiment, high quoting activity, a moderating interest rate environment, continued manufacturing onshoring and public funding for infrastructure and other fixed asset investment programs. The uplift from this macro environment could be considerable for this platform as well as for our steel operations. Our steel fabrication platform provides meaningful volume support for our steel mills, critical in softer demand environments, allowing for higher through cycle steel utilization compared to our peers. It also helps mitigate the financial risk of lower steel prices. Our metals recycling operation also performed very well this year considering the challenge of declining scrap prices through most of 2024. The North American geographic footprint of our metals recycling platform provides a strategic competitive advantage for our steel mills and for our scrap generating customers. In particular, our Mexican locations competitively advantage our Columbus and Sinton raw material positions. They also strategically support aluminum scrap procurement for our flat rolled aluminum investments. Our metals recycling team is also partnering even more closely with both our steel and aluminum teams to expand scrap separation capabilities through both process and technology solutions. This will help mitigate potential prime ferrous scrap supply issues in the future. It will also provide us with a significant advantage to materially increase the recycled content for our aluminum flat rolled products and increase our earnings opportunities. Ferrous scrap prices have stabilized and have increased in January. We expect prices to be moderately high in February as well based on the extreme cold weather through much of the United States and resulting diminished scrap flows. The steel team had another strong year. During 2024 the domestic steel industry operated at an estimated production utilization rate of 77% while our steel mills operated a rate of 86% excluding Sinton. We consistently operate at higher utilization to our value-added steel product diversification, our differentiated customer supply chain solutions and the support for our internal manufacturing businesses. This higher through cycle utilization of our steel mills is a key competitive advantage supporting our strong and growing cash generation capability and the best-in-class financial metrics. Regarding the flat rolled steel markets, pricing stabilized in the fourth quarter and into January. Flat rolled customer order entry has been seasonally strong to begin 2025. Lead times remain steady and customers remain optimistic on the outlook. Inventories remain historically lean, but increased imports have kept incremental buying at bay in certain product areas, specifically for coated flat roll steel products. As most of you know, we levied a trade case late in 2024 and expect to get favorable countervailing and dumping rulings sometime in the next few months, which should significantly decrease these unfairly priced imports. Long product steel markets were challenged in the fourth quarter with seasonal weakness across the platform based on customer feedback. The severe weather definitely had an impact as well as cautiousness related to the election outcome and possible administrative moves. We have already seen order activity improvement and expect 2025 to pick up nicely in consumption as we progress through the first half of the year. Based on our railroad rail customers' discussions and project activity, we believe we will see increased demand for rail products in 2025 which will further help our product diversification in our long products group. Our Sinton, Texas flat rolled steel mills production reliability improved dramatically beginning in November, exiting the year with the utilization rate over 80%. The team continues to improve with operation levels approaching 90% levels in the last four weeks. The team continues working through quality and yield issues that are keeping costs at elevated levels. However, we expect these costs to moderate as we progress through the first half of the year, reaching positive earnings soon. We continue to work on product development with Sinton's capabilities to expand our flat rolled product offering. Also, the additional two new value-added coating lines are up and running, improving Sinton's operating efficiencies, value-added product mix and through cycle capabilities. Regarding the steel market environment, North American automotive production estimates for 2025 were recently revised slightly lower; however, they remain at historically normal levels. Automotive dealer inventories continue to remain below historical norms and actually have declined further in December. The auto fleet in the United States continues to age and has now reached a record high. Our specific automotive customer base has remained strong and our participation with this base has remained steady and in some cases growing. This is for both flat rolled products and our automotive SBQ customers. Nonresidential construction remained stable with slowdowns across some industries; however, we believe moderating interest rates will unlock pent up project work and create new opportunities as we progress into 2025. Additionally, onshoring and infrastructure spending should provide further support to fixed asset investment in related construction oriented projects. As for the energy market, the solar industry continues to grow and be a meaningful market for both our flat rolled and long products mills. Oil and gas activity remained steady with recent signs of increased activity for both flat rolled products and SBQ products. Looking forward, we are optimistic regarding steel demand and pricing dynamics as we enter 2025. With that, I'll turn that over.
Mark Millett: Super. Thank you, Barry. Thank you, Theresa. So I believe it's more than evident that our performance-driven team-based culture in combination with a proven diversified and value-add business model, drive superior through cycle financial metrics. This consistently strong operating and financial performance continues to support our cash generation and growth investment strategies, allowing a very balanced cash allocation strategy that has delivered the highest shareholder returns in our industry. Our disciplined investment approach continues to support a strong and growing through cycle cash generation profile, while maintaining the highest return on invested capital of our peers. As mentioned, the four value-added flat rolled steel coating lines are increasing volume and performing very well from a quality perspective. These types of high return investments are key to our value-added product and supply chain differentiation strategies. As we mentioned, Sinton continues to improve its operational reliability with expectations for strong production and financial contribution in 2025. And most recently, our aluminum growth strategy is unfolding and is especially compelling. The ADI [ph] investment premise parallels our disruptive entry into the steel industry some 30 years ago. Back then the market environment was similar to the domestic aluminum environment today; older assets, high legacy costs, inefficient high cost operations. They had difficulty earning their cost of capital over the years. Hence there's been little additional investment in facilities and technology. They have somewhat of an arrogant customer approach and but unlike our entry into the oversupplied steel market, there was a significant North American supply deficit for aluminum sheet and it will continue to grow. There's a clear business alignment where we can leverage SDI's core competencies. Our construction knowhow is quite persuasive. All you have to do is look at the rate of construction of this project and it's absolutely remarkable. And we also have operational knowhow and our performance-driven culture will drive higher efficiency and lower cost operations than our peers. The project also levers OmniSource's recycling footprint. They're the largest North American aluminum scrap recycler and they have done a great job here of late developing new separation technologies to separate the various aluminum grades from the scrap stream, particularly the 5000 and 6000 series from automotive process scrap. This is a meaningful investment. It's cost effective and a high return, growth and diversification opportunity. The project is no longer just a vision, but quickly becoming a reality. And as I said, just look at the website. We update that I think on almost a monthly basis. And just to think that we started digging in the ground July 5th of the year before last, somewhat 18 months ago is absolutely incredible the progress to date. Construction of the expansive mill in Columbus, Mississippi as I said is at an extraordinary pace. SLP, our slab and cast house down there is also proceeding incredibly well and should be operational here in March or April. The future customer base across all sectors is excited to have a new market entrant that is known to be innovative, customer centric and responsive to their needs. And I have to emphasize, after I talked to a bunch of the customers out there, aluminum customers out there, we will be innovative. We will be incredibly responsive and provide best-in-class service which will translate directly into customer value. We will be a differentiated supplier. Conversations with existing and new customers across the markets remain robust as they need and desire new supply options. As we strategically initiated at Sinton, we're developing an onsite industrial park to locate aluminum processing and consuming facilities there. We've already announced one such relationship with Klockner. It will help service our automotive customers. And we are currently negotiating a second arrangement that will result in approximately 100,000 metric tons of annual onsite processing capability. As our aluminum growth has become a visible reality and our reputation permeates the industry, we found aluminum professionals have been signing up to join this exciting project. They're helping us build a phenomenal team that combines in-depth knowledge of aluminum flat roll operations, aluminum commercial markets and process technology along with customer service, which complements our SDI professionals that will bring our performance-driven culture to bear. As we stated in the past, just to recap the facility itself, it's a state-of-the-art plant, 650,000 metric tons of flat roll capacity Columbus, Mississippi. The mix will be around 300,000 metric tons of canned stock, 230,000 metric tons of automotive material and about 130,000 tons of industrial and construction products. Actually at Columbus onsite mill cast slab capacity will be 600,000 metric tons supported by two satellite recycled aluminum slab casting centers located in UBC's scrap rich regions. The project scope includes additional scrap processing and segregation technologies as I've already mentioned, to maximize aluminum recycled content. Our aluminum team is executing exceptionally well. The team successfully cast their first industrial and beverage can ingots on CAS complex #1 in Columbus the this past January 12th and we've had six or seven casts since in developing process variables for the different grades. We plan to continue commissioning throughout the facility during the coming months as we produce commercially viable products before midyear 2025. Production is expected to grow to a 50% annual run rate by the end of 2025 and 75% capacity in 2026. Given current market conditions we also expect to be a little EBITDA positive before year end 2025. We expect through cycle annual EBITDA of around $650 million to $700 million plus about $40 million to $50 million for the metals recycling platform. The most significant savings relative to our competition center on four key areas; labor savings, higher recycled content, significant process yield improvements and logistics. It can hardly be explained, but the excitement within our company is palpable, especially within the Mississippi and San Luis Potosi aluminum sites and it grows as our teams recognize our ability to revolutionize the North American aluminum industry as we did in steel. We are impassioned by our current and future growth plans as they will continue to drive the high return growth momentum we have consistently demonstrated over the years. The earnings growth of these new projects is compelling. The capital spending for Sinton, the four value-add lines and Aluminum Dynamics is largely spent with projected future through cycle EBITDA contribution of over $1.4 billion. Steel Dynamics has grown to an incredibly resilient cash generating business of scale and diversification driven by the best teams in the world. In the last five years we've invested billions of dollars in our organic strategic growth. We've earned a return on invested capital of 24% compared to the S&P 500 at only 12% and way higher than the best of our steel peers. We've increased our cash dividend over 90%. We repurchased over 30% of our outstanding shares, all while maintaining best-in-class investment grades, credit metrics and creating outstanding value for our customers and suppliers, our teams and our shareholders. I'm excited as investors recognize the power and consistency of our through cycle cash generation combined with our consistent and high return capital allocation strategy and they value us accordingly, more like industrial companies. It is our belief that the steel industry has undergone a paradigm shift in recent years that will amplify this position. There's a pervasive sense of mercantilism that will provide a level playing field through continued and appropriate trade mechanisms. Risk mitigation to address numerous supply chain dislocations is accelerated re-shoring of manufacturing. AI and cloud computing will support nonresidential construction, data centers, chip factories, battery plants and the like along with growing fixed asset investment associated with public dollars. And lastly, decarbonization will materially steepen the global cost curve, providing Steel Dynamics with a huge competitive advantage to gain market share and increase metal spreads, given our position of some of our sheet metals of the lowest carbon footprint in the world. This evolving metals business environment will amplify our earnings capability going forward. We are blessed with good fortune. Our people are our foundation and I thank each of them for their passion and dedication. We are committed to them and I remind those listening today that safety for yourselves, your families and each other is the highest priority. I would be remiss not to thank our loyal customers, many whom supported us since our inception some 31 years ago. These partnerships are based on trust, on doing what we say we will do, creating new solutions to enhance their value proposition. Our new aluminum partners will experience the same and also our suppliers and service providers who we value and trust, thank you. Our culture and business model continue to differentiate our performance leading to best-in-class financial metrics. We're a circular metals business, providing enhanced lower carbon supply chain solutions, in turn mitigating volatility and cash flow generation through all market cycles, providing enhanced shareholder returns and value to all participants. So we look forward to creating new opportunities for all of us today and in the years ahead. And with that said, Matthew, could we turn it over to questions please?
Operator: Thank you. [Operator Instructions] Your first question is coming from Tristan Gresser from BNP Paribas. Your line is live.
Tristan Gresser: Yes, hi. Thank you for taking my questions. I have two. The first one, I was wondering, have you witnessed any weather impact either on your operations so far this year or on demand dynamics? And also what type of volume increase should we expect in steel and fabrication Q1? I'll start there.
Barry Schneider: Tristan, this is Barry Schneider. With regard to the weather, it does definitely tighten up scrap, just the availability to move it. I know there are lot of discussions out there about energy and what's going on in the various regional transmission areas. To date we haven't been significantly impacted. We have a really good relationship with both our utilities and our communities. So if there are emergencies, we have the ability to taper our usage. But it's been minimal to this point and we continue just to work with the cold weather as everybody else does. A lot of our teams work outside and could you repeat the second question, please?
Tristan Gresser: Yes. If you can share a bit of color on the guidance for volumes, what should we expect for your steel business and your fabrication business sequentially into Q1?
Theresa Wagler: So Tristan, as you know, we give limited guidance as it relates to things like that. But as you look at the first quarter, definitely and you look at some of the disruptions we had in the fourth quarter because as Barry mentioned, there was some weather impact with shipping as well with some of our steel divisions, but we would expect seasonally to see higher volumes in the first quarter. I think more importantly, like looking beyond just a quarter, but looking toward 2025, as all three of us mentioned in our opening remarks, the customers and our teams are really looking to see increased consumption and volume across the platforms in 2025 as it relates to some of the public funding. But I think more importantly as it relates to maybe some additional benefit from reduced imports from what we think will be a pretty robust construction environment, specifically in the second half of the year and then potentially some things from the administration as well. So we're more focused on the longer term than just quarter-over-quarter.
Tristan Gresser: Okay. No, that's fair. And maybe just another question on the hot dip galvanized trade case. Can you explain why the investigation was asked to be delayed? Is that because there were signs that the tariffs may not be applied in full? And also regarding the import situation, obviously there's a lot of chatter around potential tariffs. Have you witnessed some import bounce in recent weeks or before those potential tariffs take place?
Mark Millett: As regarding the timing, that is pretty typically just a procedural type event that happens with trade cases. There's an incredible amount of data that has to be collected and then the government agencies have to have to pore through that data. There are 10 different countries that where cases were filed against and we have seen an import bump and in some cases just being able to store any more material limits what could come in. But we have seen it, we see it subsidizing right now. And regardless of what new trade actions that may happen with the administration, these cases are traditional cases that are based on regular commerce between countries. So we're expecting very favorable rulings and we do anticipate taking this unnecessary noise out of the marketplace. As the rest of the world has struggled in certain areas with slowdowns, America becomes the place where these tons make their way. So again, normal cases, they're going to process through the system like they always would and then whatever the administration does going forward, obviously we'll react to and work with that.
Tristan Gresser: All right, perfect. Thank you very much.
Operator: Thank you. Your next question is coming from Timna Tanners from Wolfe Research. Your line is live.
Timna Tanners: Good morning and thanks for the detail. I wanted to really understand better the situation at Sinton and the finishing lines. So in the Q4 results you talked about Sinton at 80%. So it looks like great progress there, but I'm not understanding why that's not more profitable at that utilization? And similar question for the finishing lines, like what does it take to get to greater profitability, when should we see that switch over and what could the contribution look like? Thanks a lot.
Barry Schneider: Timna, this is Barry. It's interesting when we talk about the progress of Sinton. I remain incredibly excited about what that team is doing. And the throughput is a very large part of any cost compression any operations in steel mills. So the gains we've seen on the hot side have really been excellent. And it's really a function of our teams are really working well together and our culture is being realized. The mentoring that our other steel professionals, the men and women at all our other steel plants have been going down there working with the Sinton team. And what started early as basic education on equipment is now mentoring. And the decision making they make every day drives the decisions to the floor and empowers the team to really make good decisions and find their best practices. Machine reliability improvements also. So as throughput is increased, that definitely gives us a great opportunity. Extraordinary cost right now are really a matter of a big part of the financial impact and that extraordinary costs are related to the reliability of the machine as well as improving the maintenance and the redundancies that our equipment needs. So as we've figured out where the weaknesses are, we're putting money, expensive money to put systems in place and people in place to make sure that the money we're spending today reduces the money we need to spend in the future. These costs also have a direct impact on the quality. And probably the single, to go specifically at your point about productivity, productivity alone is great, but what we have to really do is drive yields and prime rates. It's expensive commissioning, particularly downstream units because the products that are going to those lines as they start up have a lot more value in them. So we continue to drive more of our tons that we make, leaving the plant on a prime order of high value that drives the mixed average selling price up. So right now in the past month it's sitting the hot side is operating at a prime rate that is actually exceeding our Butler and Columbus plants. Butler and Columbus are world-class when it comes to turning every piece of raw material coming into our plant into a prime shipment. We're also very focused on product development. So instead of just having one product line, we continue to try to cost effectively and conscientiously develop products that will help the productivity and the product offering that we have out of out of Sinton. So the customer is not going to compromise their needs. So as we commission the lines as we go through the acceptability and the new customer qualification processes with these new lines, that does have a cost. So we're really excited with where we're at on the curve. It was ambitious, but the addition of the two new lines at Sinton, have allowed the mill to be more efficient. So as we work through these commissioning efforts and these approval processes, more of the product leaves the plant at high selling values. So that's a lot of what the Sinton cost is behind the productivity improvements.
Mark Millett: And I would say Timna, that one should focus on the step function improvement these past three months for them to be hitting 80% and I think, you know, all last year we said that mill would be operating at that rate by year end and so accomplish that. More recently they've been operating in excess of 90%. They're getting 10,000 ton days, they're getting 35, 36 string heats on the caster. The performance there has literally shot up exponentially and the fact that it didn't make money in the fourth quarter is not atypical. We're ramping up and the profitability as Barry well-articulated follows and our expectation is that profitability will be gained in the second quarter.
Theresa Wagler: Just one thing to follow. I want to level set everyone. So Barry and Mark mentioned that even though it's been a couple of years in, it's still in that startup mode where once it gets to a fully mature facility which will be later this year, it would be just like all of our other facilities. So as a reminder, our structural and rail division operated at less than 30% of its capacity in that 2009 great recession environment. And they were not just cash flow positive, but they were operationally positive from an earnings perspective as well. So Tynton will get there and the teams will achieve that here in the first half of the year.
Timna Tanners: Okay, thanks again.
Operator: Thank you. Your next question is coming from Lawson Winder from Bank of America. Your line is live. Once again, Lawson, your line is live.
Lawson Winder: Thank you very much, operator. Good morning, Mark, Theresa and Barry. Can I just ask on capital allocation priorities? So, I mean it's a very nice setup for Steel Dynamics heading into 2025 with a pretty material free cash flow inflection expected here. Are there any new projects in the pipeline that could possibly be green lit in 2025? And then on the other side of potential growth options, what is Steel Dynamics appetite to potentially acquire new capacity? Thank you.
Mark Millett: Sorry, what was the second half of that question? Oh M&A…Obviously we have allocated a lot of cash to phenomenal growth at Sinton the four new lines and aluminum and they are being realized. There is no, I would say imminent large scale organic growth anticipated right now. We have several projects, but our focus currently is to execute, execute, execute, get Sinton up and running incredibly well from a profitability standpoint. Get Aluminum Dynamics up and running and it's going to be a fabulous, fabulous mill, fabulous investment and return for us. So that's our immediate, I guess, focus for the team. On the M&A front, again we continue to look at opportunities as they come in and if one were to make sense then maybe we would look at it, but nothing imminent right this second.
Lawson Winder: Then would it be fair to conclude in absence of an obvious new growth project, and nothing obvious I guess for M&A, could capital return accelerate then just given the setup for 2025?
Theresa Wagler: So Lawson, we are absolutely a growth oriented company and we're very committed to our investment grade metrics and that being said, we've had because of the business model that we have, that consistent cash flow generation allows us to really have meaningful shareholder returns. So I think you've seen that in the last three, four, five years and I don't see anything changing that, absent something that's unforeseen at this point in time. So we'll be focused to Mark and Barry's point on execution first and foremost, but then you will continue to see us look to avail ourselves of what we think is an attractively priced company by buying our own shares back and by keeping that positive dividend profile.
Lawson Winder: Okay, great, thank you.
Operator: Thank you. Your next question is coming from Alexander Hacking from Citi. Your line is live.
Alexander Hacking: Yes, hi, Theresa. Can you just clarify the expectations for the aluminum mill in terms of production? I think you said 50% this year, 75% next year. Is that sort of exit rate or is that average? I guess, put another way, like, how many tons would you expect to ship this year and next year? Thanks.
Barry Schneider: The 50% for 2025 is ending the year at a 50% utilization rate, 75% for 2026 is total capability.
Alexander Hacking: Okay, thank you. And then just to follow up, if I might, on the fab segment, you know, margins were very stable there last year, actually, you know, around 37% to 40% EBITDA margin, if my math is correct. I mean, is it too early to call that a new normal? It's obviously a lot higher than it was pre-COVID and lower than the kind of peak COVID years, but surprising amount of stability there. Any comments would be helpful, thank you.
Theresa Wagler: So you know Alex, as we talked about it in the past, we do believe that that whole industry went through a commercial change as it relates to pricing and what that means. And what I mean by that is that there was a product and a service that was probably not, probably was underpriced pre-COVID and there wasn't a recognition of the engineering and the value add that's a part of that. So yes, we right now if you look at 2024, those volumes were actually pretty low even for pre-COVID. And we would expect to see that change in 2025 and in the out years as we start to see what we believe is an environment that will support increased fixed asset investment which will therefore absolutely support increased steel consumption, steel joists and deck consumption and therefore, you know, more scrap required in the U.S. as well. So we see this as a pretty stabilized period of time with margins that are going to be higher on a go forward basis and on a mid-cycle basis.
Alexander Hacking: Okay, thank you.
Operator: Thank you. Your next question is coming from Bill Peterson from JPMorgan. Your line is live.
Unidentified Analyst: Good morning, this is Bennett on for Bill. Thank you for taking my questions. I wanted to get your thoughts on recent tightness in UBC scrap spreads and whether this could be a structural trend with greater demand from two new rolling mills ramping and China recently removing scrap import controls. And if you could also remind us what the expected scrap intensity will be across the three product groups out of ADI.
Mark Millett: Well, we don't anticipate this being a new norm. Aluminum scrap, steel scrap, they're incredibly efficient, effective markets. There is I think some emotion out there as we're getting into the market and people are doing some strange things, but I think it will normalize over time. The scrap across the -- individually I would say we're looking at for can stock at around 95% utilization, recycle content and when you get to the automotive grades, probably if I remember correctly, around 60%, 65%. Again we are absolutely focused on being best-in-class there. We do have OmniSource, the largest aluminum recycler in North America today. They've come up with some phenomenal sorting segregation capabilities just as we have over the years for steel scrap and the shredded obsolete flow. They're achieving the same capabilities in aluminum. So there's absolutely no doubt we will be best-in-class there going forward.
Unidentified Analyst: Thank you for that detail. And as we think about losses moving forward, I think in the past, it was guided to around $25 million a quarter. You were a bit above that in the fourth quarter. Is that still a good guidepost or could we see them continue to move higher? Thank you.
Theresa Wagler: As it relates to that, as we ramp up in the first half of the year, you will see some incremental increase. I think for the first quarter, it's still going to likely be in that $30 million to $35 million dollars range, but as they start to operate, you will see additional expenses come through until it's offset with sales, which Mark mentioned earlier should start in the June time frame. So, a little bit of incremental increase first half of the year before we start to see the offsets from operations.
Unidentified Analyst: Thank you very much. Best of luck.
Operator: Thank you. Your next question is coming from John Tumazos from Very Independent Research. Your line is live.
John Tumazos: Thank you. Could you give us some color contrasting the lightning blitzkrieg startup for the aluminum versus Sinton, where we're in the fourth year who were the equipment suppliers primarily for aluminum versus for Sinton? Are there issues at Sinton that the product mix is different than anticipated, narrower coils or more batchy or tougher to procure scrap or if there's nonprime steel, is it because of dirty scrap or the melt shop not getting the chemistry right or the rolling practice? It's just such a contrast. Aluminum is ahead of schedule and we are where we are in Sinton.
Mark Millett: Well John, great to hear from you. Thanks for supporting us and being on the call as you always are. I think the two projects are very, very different from a startup ramp up utilization perspective. I guess if you look at Sinton, that was essentially a new technology on the caster, that is generation. I don't know whether we call it generation three, four or five or whatever it is, but that is absolutely at the forefront of any technology for that sort of mill in the world. People are coming to us. In all honesty, they're wanting to replicate it in Europe and in Asia. With that new technology comes risk and issues and challenges. And given that, as you know, a CSP plant is a continual process from the very beginning, metal refining, casting, hot strip mill, any bug, any maintenance issue, any shutdown issue shuts the whole mill down. You compare and contrast that with the aluminum mill. The aluminum mill, it's state-of-the-art technology, but there's nothing new there, certainly way, way, way ahead of any technology in the US for sure. But in Asia, in China, these mills, the equipment, the SMS equipment has been supplied quite, quite broadly. So we're not sort of revolutionizing it or pioneering a new technology. The design of the plant, the layout of the plant is a lot more effective and efficient for sure. And there's a lot more batch nature to it. So for instance on the melting and casting side of it we have four units in Columbus. We have a fifth unit in San Luis Potosi and we have a sixth unit out on the West Coast. So again, you lose one, you have a problem with another that's not going to impact the startup for the next two years even if you're missing a couple of those units. So it is a definitely a different beast and we do expect that startup to be quite rapid.
Barry Schneider: John, if I could add the quality coming out of Sinton, we're actually quite pleased. We made this technology decision because of where we see the products being needed in the United States. So we've been very happy with high strength products. That product development is going very well. And not to get too specific, but high strength steels of various widths are under demand because that allows you to lighten the weight of things. We're also seeing really good response on the melting side. The steel making at that plant is very good. But as Mark spoke, when you have a continuous process, if you have an issue anywhere amongst the main hot side units, the whole side shuts down. So as the team gets better at making good decisions and operating with confidence, that's where we've seen these incredible gains. That's what the rest of our steelmaking team goes down there to support. It's mentoring. They know what they're doing. They're just making better and better decisions. But we're very happy with the quality. We're happy with should we see a boom in pipe and tube, we're developing those products because we have to be able to service all those markets. So we're excited about where we're at. We're excited with how the technology performs and it's been a rocky road. But at the same time, sometimes when you're first, you have these experiences. But we continue to put more and more capabilities in the mill so our sales team can go to the marketplace with those.
John Tumazos: Thank you.
Operator: Thank you. Your next question is coming from Timna Tanners from Wolfe Research. Your line is live.
Timna Tanners: Hey, I had a follow up, if I could. I just wanted to look at your balance sheet. I know at the year ago at this time, you said that you were planning to keep buybacks steady year-over-year and you did that. You know your cash and short-term investment position as far as I could see was the lowest in a decade. Is that an appropriate level and do you think that you would keep buyback steady from recent years levels? Thanks a lot.
Theresa Wagler: Well, I'm not sure it's the lowest in a decade, but I've been here too long. I've been here like 26 years. That being said, we feel very comfortable with the capital structure and the capital foundation. We do have another tranche of notes that are maturing here in the second quarter, so we'll be looking to refinance those. But yes Timna, we still plan on having a very active share repurchase program along with the complementary dividend increasing profile simply because as we start to see again the fruition Mark mentioned in his opening comments, we've in the last three years spent or last five years spent money for organic growth. Now we're going to start seeing the benefit from a cash stream perspective and an earnings stream perspective in 2025 and that will be a great resource for us to continue to again as I mentioned buy back company that we think is pretty well run at a pretty significant discount. So we don't see anything like that. We don't see anything changing from this point forward.
Operator: Thank you. That concludes our question-and-answer session. I'd like to turn the call back over to Mr. Millett for any closing remarks.
Mark Millett: Well again thank you everyone for joining us. And I guess as I reflect we on these calls tend to get driven into sort of near-term detail. But just to acknowledge those that our shareholders and those analysts that have literally started looking at us as a metals business and more of a perhaps an industrial type valuation. If you just look at our total shareholder return over the years, I mean you can't argue against it. I mean whether it's a one year or three year, five year, 10-year, I think the team has done an incredible job following through on what we've always said and that's a long-term value. We don't look at just building the company for the next six months. When you have a 10-year total shareholder return of 813% which is three, almost four times our best steel peer, and even the S&P 500 index at 255%. I mean we blow those statistics away and it's because of the of the business model the team has built over the last 15 or 20 years, essentially the foundation of the company. And so I would just thank those that recognize that and continue to support us. And then finally, again, to every single employee teammate out there, thank you for what you do. You're incredible. Be safe. Thank you.
Operator: Once again, ladies and gentlemen, that concludes today's call. Thank you for your participation and have a great and safe day.